Operator: Greetings, and welcome to the Advanced Emission Solutions' Q3 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host, Ryan Coleman with investor relations. Thank you, Mr. Coleman. You may begin.
Ryan Coleman : Thank you. Good morning, everyone. And thank you for joining us today for our third quarter 2023 earnings results call. With me on the call today, are Bob Rasmus, our Chief Executive Officer and President; as well as Kim Hansen, our VP of Finance. This conference call is being webcast live within the Investor Section of our website, and a downloadable version of today's presentation is available there as well. A webcast replay will also be available on our site and you can contact Alpha IR Group for Investor Relations support at 312-445-2870.  Let me remind you that the presentation and remarks made today include forward-looking statements as defined in Section 21 E of the Securities Exchange Act. These statements are based on information currently available to us and involve risks and uncertainties that could cause actual future results, performance and business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include but are not limited to those factors identified on Slide 2 of today's slide presentation in our Form 10-Q for the quarter ended September 30, 2023, and other filings with the Securities and Exchange Commission.  Except as expressly required by securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or change circumstances or for any other reason. In addition, it is especially important to review the presentation and today's remarks in conjunction with the gap references in the financial statements.  With that, I'd like to turn the call over to Bob.
Bob Rasmus : Thank you, Ryan. And thanks to everyone for joining us this morning. We delivered a solid third quarter marked by revenue growth over the prior year improved margins and profitability and continued progress towards executing our strategic plan for the transition to becoming a producer of granular activated carbon.  Last quarter, I promised that our absolute focus would be on execution, starting with a strategic expansion of our production capabilities at Red River and Corbin all while running our existing businesses in the most efficient manner.  Regarding our existing business, I felt that there were things we could and should be doing better. One of our first initiatives was to take a candid, nothing is to say good look at our existing PAC portfolio. Our goal was to improve economics and overall profitability. We reviewed all existing contracts within an emphasis on improving overall economics, eliminating unfavorable or lossmaking relationships, focusing our sales and production efforts on the best opportunities to improve product mix, and most importantly, profitability.  As a result, our average selling price or ASP is higher by roughly 16% year-to-date compared to 2022. As a reminder, we observed lower power generation volumes due to lower average natural gas prices compared to the prior year. However, we saw much stronger volumes within our water markets, where ASPs increase substantially compared to the prior year. Taking together, these initiatives improved our financial performance as we move through the quarter. Our gross margin in the quarter was 30.6%, which is significantly better than 24.1% and 2022.  As a result, after four consecutive quarters of negative EBITDA, we achieved positive EBITDA for the third quarter. The quarter also saw a 5% revenue growth for our consumables products compared to the prior year. We also ended the quarter with positive momentum.  While volumes were slightly higher than the prior year, we were more profitable. This is a point which I want to stress as being of great importance to me as the CEO, and as a shareholder, we will continue to working to improve the business performance via a laser focus on profitability over volume.  My goal is to eliminate all unprofitable contracts, an obvious but necessary measure to take in order to become a much more profitable business. To this end, I am happy to report that by year-end 2023, we expect that we will have only two contracts outstanding with negative gross margin. And we'll be looking to address these over the course of 2024.  As we think about demand for our consumables products going forward, we have recently seen an increase in natural gas prices, which is encouraging as it typically supports demand levels among our power generation customers. This sector remains volatile, but we have confident that the ongoing optimization of our PAC portfolio coupled with our initiatives to step up the ASP of our overall portfolio would help to offset any potential future volume declines.  We also continue to see stable demand from our industrial and water markets, though these remain smaller markets for our products compared to power generation.  Turning to our expansion plans on strategic projects. We remain pleased with the progress of our work at Red River and Corbin to repurpose our assets to produce and commercialize granular activated carbon products. Recently, our focus has been on the permitting process at Red River while simultaneously purchasing long lead time equipment and preparing for construction.  At Red River, we've recently obtained all necessary permits to move on to the construction phase, which will begin this month. We have also completed all site grading and prep work in October. Our fourth quarter tasks will be the finalization of the commissioning and staffing plan as well as the commencement of civil construction and piping fabrication. This first phase includes the construction and installation of new shaping and heat treatment processes that will provide the plant with the capabilities to handle and process both a bituminous-based feedstock and our current lignite feedstock. We expect the shaping and treating equipment to be installed and operational by the fourth quarter of 2024. Upon completion, we expect this first phase of the expansion will result in nameplate capacity of about 25 million pounds of annual granular activated carbon production. At Corbin, initial modifications to the plant as well as other planned improvements are nearing completion. We have completed 70% of the construction of the water clarification project and controllers' procurement and engineering has been completed as well. Our next steps at the site will be the welding and installation of clarification project, piping and control system installation as well as site grading and the raising of the stacker. The company has previously stated the total Phase 1 CapEx between Red River and Corbin to be between $45 million and $50 million, a figure that we confirmed in our October 23 press release. However, we are revising our CapEx expectations for calendar year 2023. We now expect our CapEx this year to be between $35 million to $40 million, as opposed to $40 million to $45 million previously. I want to be clear that this revision to our spending expectations is in no way related to any delay or postponement of our expansion plan. We are currently exactly where we expected to be on the time line of our expansion projects. And as of today, there has been no change to future expectations or to our anticipated commercialization of granular activated carbon by year-end 2024. The change is simply a function of the timing of when we expect to incur certain costs with some now expected to occur in early 2024, and as well as other factors such as lower down payments on equipment than previously anticipated.  As previously stated, I wanted to conduct a thorough review of all aspects of the company's operations including the strategic plan. The initial focus was on existing operations and profitability. You can see the results of that work in our third quarter numbers and our comments on contract and relationship profitability. Quite frankly, these efforts were more extensive and time-consuming than anticipated. I also wanted to conduct a thorough review of our capital spending cadence to optimize our spend in the most efficient manner and ensure at the very least that we hit our proxy milestones. We hope to complete that we view in the near future and be in a position to share material updates soon.  Given customer conversations and market demand, my goal is to accelerate the time line. We are having very encouraging preproduction conversations with potential customers that continue to demonstrate a strong demand for high performance activated carbon technologies in the air, water and soil remediation markets. Given the market demand we are seeing, we believe it is possible and even likely that we could contract our Line 1 capacity before the start of production and commercialization.  As such, we are evaluating the practicality and costs associated with accelerating certain aspects of the business plan. We recently announced with the commencement of Phase 1 of our expansion plan that we retained the optionality to expand the scope of that plan in fourth potential additional phases with an estimated total cost for all five phases of approximately $251 million. It's important to note that we benefit from having a sole discretion to accelerate or phase our expansion plan as our realized growth, internal forecasts and market conditions dictate.  As we look beyond the first phase, we expect to take a diligent approach. Again, exercising our sole discretion as to whether, when and how we undertake each successive phase of the plan. We are also working alongside both state and federal officials regarding our participation in incentive programs, such as the State of Louisiana's Industrial Tax Exemption and Quality Jobs program. It is perhaps worth reiterating that the basis for this potential multiphase expansion is our confidence in this granular product line, and I would repeat that any expansion will only be executed at our option which we will continually evaluate based on customer demand and market conditions. As we look at the broader market conditions to which our product demand will react, we are extremely encouraged by the regulatory-led developments we are already seeing gathering pace. As an example, we anticipate that the EPA may release its National Primary Drinking Water Regulation by the end of this calendar year and with it a significant focus on PFAS or forever chemicals. Such regulation could potentially raise the required standards for drinking water across the U.S. expanding demand for our products in a market facing supply shortages.  This is one of the main reasons for our optimism about our initial expansion plans at Corbin and Red River, but I should add that there is a clear trend for stricter regulations beyond the U.S.A. Our customer engagement suggests that market participants are very eager to secure supply before it becomes even more constrained. The conversations with a broad range of customers, which we have had today clearly demonstrate that the triple benefit we offer them is unique. By providing a vertically integrated supply chain and environmentally responsible feedstock and the potential for a materially lower emissions profile, we can offer something truly distinctive.  It is perhaps also worth touching on the process, as to how we are working to satisfy this demand. We are engaging with a very large market sector with potential demand significantly in excess of what we can produce. We are already well underway with some of these conversations, and I anticipate this will accelerate as we enter 2024. So I am very excited about the progress we are making in this regard and look forward to updating the market in due course as we secure further interest.  Separately, but related to this drive towards ongoing greater profitability, I previously mentioned our operational review. This is not a onetime event. It is ongoing. We will continue to evaluate ways to simplify the overall organization and operations, while maintaining the ability to achieve the growth initiatives inherent in our business plan.  As part of that process, we recently announced that Jeremy "Deke" Williamson has been appointed as our new Chief Operating Officer. Deke has extensive experience optimizing plant operations and successfully completing construction and expansion projects on or ahead of time. I am confident that his leadership and past experience will be invaluable as we execute our goal of being the safest, lowest cost and most profitable company in the industry. Deke's impact is already being felt, and we look forward to his contributions.  Additionally, as you may have seen, we also recently announced the promotion of Stacia Hansen to the role of Chief Accounting Officer. We are excited at having Ms. Hansen in her new role. I will provide a bit more color on how we're thinking about our priorities going forward. But first, I'd like to turn the call over to Kim to review our third quarter results in greater detail. Kim?
Kim Hansen : Thank you, Bob. Slide 10 offers a high-level review of our third quarter and year-to-date financial results. Third quarter revenue totaled $21.8 million compared to $28.4 million in the third quarter of 2022. The increase was mainly driven by higher average selling prices for our consumable products, Year-to-date revenues were $71.1 million compared to $79.6 million for the comparable period in the prior year. The revenue decline was the result of lower sales volumes due to lower average natural gas prices, which negatively impacted the company's power generation customers, partially offset by higher average selling prices for consumable products. While volumes have declined, the gross margin per pound has improved from prior year due to higher average selling prices and better input cost management. Third quarter other operating expenses were $11.6 million compared to $9.5 million for the third quarter of 2022. Year-to-date, other operating expenses were $34.3 million compared to $25.3 million in the prior year period. The increases were mainly as a result of higher payroll and benefit expenses as well as higher general and administrative expenses associated with the acquisition of substantially all of the subsidiaries of Arq. Third quarter operating loss was $2.5 million compared to $2.6 million in the prior year. The improvement was mainly as a result of better gross margin in the company's consumable products. Year-to-date operating loss totaled $16.4 million compared to an operating loss of $8.7 million in the prior year. The decline was mainly a result of lower consumables revenue and higher operating expenses. Third quarter interest expense was $0.8 million compared to $0.1 million in the third quarter of 2022. Year-to-date interest expense was $2.2 million compared to $0.3 million in the prior year period. The increases were primarily driven by incremental interest expense on the company's $10 million term loan. We did not recognize any income tax expense or benefit for the third quarter of 2023 or 2022. The company recognized its all income tax benefit during the year-to-date period of 2023 compared to not recognizing any income tax expense or benefit in the comparable period of 2022.  Third quarter net loss was $2.2 million or $0.06 per diluted share compared to a net loss of $2.4 million or $0.13 per diluted share in the prior year. The improvement was driven by a smaller operating loss in the prior year. Year-to-date net loss was $15.5 million compared to a net loss of $5.8 million in the prior year, mainly the result of lower operating earnings. Third quarter adjusted EBITDA was $0.9 million compared to an adjusted EBITDA loss of $0.5 million in the prior year. The improvement was driven by a smaller net loss. Year-to-date adjusted EBITDA loss was $9.8 million compared to positive adjusted EBITDA of $2.5 million for the comparable period in 2022. This decline was mainly the result of a larger net loss driven by higher operating expenses. It is also likely worth reminding everyone that from a seasonality standpoint, Q3 and Q1 tends to be our strongest quarter as they encompass the warmest and coldest month of the year. Cash balances as of September 30, including restricted cash, totaled $61.3 million compared to $76.4 million as of December 31, 2022. Total debt inclusive of financing leases as of September 30 totaled $21.2 million compared to $4.6 million as of December 31, 2022. The increase was driven by the term loan entered into and in conjunction with the Arq acquisition as well as the assumption of Arq's loans.  Year-to-date CapEx of $17 million compared to $6.2 million in the first nine months of 2022. The increase was the result of initial cost of the growth capital projects as well as higher spend associated with the annual turnaround earlier this year. As Bob mentioned, we now expect to incur between $35 million and $40 million in capital expenditures in 2023 driven by enhanced manufacturing and processing capabilities to enable future granular activated carbon production and amounts for the completed plant turnaround as well as the completion of certain planned projects that were started in '22 and completed during 2023.  With that, I'll turn the call back to Bob.
Bob Rasmus : Thank you, Kim. I'll close with a brief review of our priorities going forward. The integration of Arq in the initial operational review are substantially in a rearview mirror. Our key focuses going forward are, PAC market expansion to non-traditional markets and continuing to emphasize the requirement for customer profitability. Since our business expansion plan and pivot to granular products will be uses of capital for the near term, our goal was for our PAC portfolio to be a net cash contributor. We are confident that the steps being taken today to eliminate economically unfavorable contracts from the portfolio coupled with a more focused go-to-market approach that emphasizes the most attractive opportunities will have a tangible positive impact on our PAC portfolio.  We also continue the review of our planned expansion plans. The primary focus is evaluating the benefits and implications of accelerating the expansion time line. As we have stated today, we expect to meet or beat the current time line. The work towards granular fleet qualification discussions with customers has been extremely encouraging regarding our unique and patented process and the product's efficacy and testing results. We are building out our sales channels to secure lead granular customers ahead of full-scale commercialization. Our sales team has been very active, and our ultimate goal is executed granular activated carbon contracts prior to initiating production. We will share key updates in this area as appropriate. And lastly, we are exploring additional revenue opportunities for both our PAC products and Arq wet-cake. While these developments regarding arc wet-cake are too early to share they do represent potential opportunities to expand our business while diversifying our revenue stream.  You may have seen our announcement regarding our team met with LSR in Europe. We are confident that this provides an excellent opportunity to provide meaningful sales volumes in 2024. We will continue to focus on profitability over volume. Our goal is to make ADES the safest, lowest cost and most profitable company in the industry. We have an incredible opportunity in front of us to capture -- demand customer and regulatory tailwinds and to better serve a structurally undersupplied market, all while ensuring our air, soil and water remain clean and free of contaminants. I remain incredibly excited about our prospects and look forward to updating you all on progress as we forge ahead.  With that, I will turn the call back over to our operator to move us to Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Gerry Sweeney with ROTH Capital Partners. Please proceed with your question. 
Brandon Rogers : This is Brandon Rogers on for Gerry Sweeney. Thanks for taking my question. Happy to do it. So my first question is just on gross margins. I saw some improvement. You highlighted some of the reasons for the gains. Can you just bucket out how much of the gains came from mix, pricing, contract removal? And then if you see if there's any more improvements you can do on this front?
Bob Rasmus : There are really two primary reasons for the improvement in gross margin. One is the elimination of negative margin contracts, just overall, the focus, as I mentioned, on profitability over volume. And the other is paying more ruthless attention to costs and what our inputs were. And part of the negative gross margin previously was that we had some fixed price contracts and our underlying costs rose faster than anticipated.
Brandon Rogers: Awesome. Thank you. And then another question on the expansion plans at Red River. Do you -- when do you believe you'll have clarity on the potential to accelerate the expansion plans at Red River?
Bob Rasmus : I hope to have clarity for this call. But as I mentioned, the operational review took on greater magnitude than originally anticipated and took up more time. I certainly hope to have it by the next quarterly call, but quite frankly, I expect it sooner than that.  And regarding acceleration of the time line, it's our goal based on customer receptivity to evaluate that and see what the greatest benefit to shareholders would be. But assuming that there is no acceleration we're comfortable and confident that our cash on hand and future cash flow will be sufficient to fund our currently scheduled CapEx plans.
Brandon Rogers : Thank you. I'll hop back in the queue. 
Bob Rasmus : Thank you. 
Operator: Thank you. There are no further questions at this time. And I would now like to turn the floor back over to CEO and President, Bob Rasmus for closing comments.
Bob Rasmus : Thank you, Camila. In summary, -- we're pleased with the progress we've made this quarter, but we're far from satisfied with our results. I'd like to thank everyone for joining us on the call this morning, and we look forward to updating everyone as events warrant and certainly no later than the next quarter.
Operator: Thank you. This concludes today's teleconference. You may now disconnect your lines at this time. Thank you for your participation.